Operator: Hello, thank you for standing by. My name is Tiffany, and I will be your conference operator today. At this time, I would like to welcome everyone to the TETRA Technologies, Inc. fourth quarter 2025 and full-year 2025 earnings conference call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, we will open for questions. If you would like to ask a question during that time, please press star, then 1 on your telephone keypad. I would now like to turn the call over to Kurt Hallead, Treasurer and Investor Relations. Kurt, please go ahead.
Kurt Hallead: Thank you so much. Good morning. Thank you for joining TETRA Technologies, Inc.’s fourth quarter and full-year 2025 earnings call. The speakers for today will be Brady Murphy, Chief Executive Officer, Elijio Serrano, Chief Financial Officer, and Matt Sanderson, Chief Commercial Officer. Before we begin, I would like to call your attention to the safe harbor statement in our Form 10-K. Some of the remarks we make today may be forward-looking and are subject to risks and uncertainties, as outlined in our SEC filings. In addition, we may refer to adjusted EBITDA, free cash flow, and other non-GAAP financial measures. Please refer to our press release for reconciliations of non-GAAP to the most comparable GAAP financial measures. These reconciliations are not a substitute for GAAP financials. We encourage you to refer to our 10-K that was filed yesterday. After Brady, Elijio, and Matt provide their comments, we will open the line for Q&A. I will now turn the call over to Brady.
Brady Murphy: Thanks, Kurt, and good morning, everyone. Welcome to TETRA Technologies, Inc.’s fourth quarter and full-year 2025 earnings call. Before we get into the quarterly results and outlook, I would like to begin the call by acknowledging and highlighting the exceptional efforts and the 2025 performance of our leadership team and all of the TETRA employees. 2025 was a challenging year for the U.S. oil and gas industry, marked by reduced levels of U.S. onshore activity and a volatile global economic environment. Despite these headwinds, there is a long list of TETRA’s record financial achievements, as well as overwhelming support for the company’s strategic developments. I will highlight some of the outstanding financial achievements and progress against our 2030 objectives, which we communicated as part of our ONE TETRA 2030 strategy at our investor conference at the New York Stock Exchange last September. I will turn it over to Matt Sanderson and Elijio Serrano to summarize our fourth quarter results and provide an update on our balance sheet. Headlining our exceptional 2025 performance is our Gulf of America Completion Fluids team. For the fifth consecutive year, TETRA was ranked the top supplier in the Gulf of America for product quality and overall performance for offshore completion fluid suppliers in the well-respected Kimberlite International Oilfield Research Report. As the market and technology advanced to 20K ultra-high-pressure and ultra-high-temperature wells, our innovation leadership is resulting in market share gains. TETRA’s Gulf of America revenue increased well over 50% in 2025 compared to 2024, driven by participation in deepwater projects, including three CS Neptune wells that we completed in the first half of the year for a super major. Our unique zinc-free, high-density completion fluid allowed them to complete their high-pressure wells on schedule without exposing their production facilities to zinc in the production flowback. The performance of our Gulf of America team drove our completion fluids and products EBITDA margins to improve 420 basis points from 28.9% in 2024 to 33% in 2025. The combination of our vertically integrated business model as the only service provider that manufactures our own fluids and our unique technology portfolio gives us a very strong market position. Supporting our global completion fluids business is our West Memphis manufacturing team, which is the heart of our bromine-based completion fluids and our PureFlow electrolyte production. Using elemental bromine sourced through a combination of open market purchases and our long-term supply agreement, we produce offshore completion fluids, including CS Neptune, and the PureFlow-based electrolyte. 2025 was a record production year for West Memphis, producing 40% more bromine end products than our long-term bromine supply agreement allows. The West Memphis team also expanded their production and distribution capacity to ship PureFlow electrolyte to Eos in tanker trucks rather than totes to keep up with their expanded production. Another 2025 record performance is our global calcium chloride business, which set both revenue and adjusted EBITDA records and again outperformed GDP in 2025. We hold a market-leading position in Europe and a strong second place in the U.S. market. In addition to our food-grade products, we are encouraged by the outlook for our tech-grade product lines, supporting the reintroduction of chip and other high-tech manufacturing operations in the U.S. Although still a small percentage of our U.S. calcium chloride revenue, our tech grade for chip manufacturing grew by 144% in 2025 over 2024. The combination of these three record-setting operations, Gulf of America, West Memphis plant production, and calcium chloride business, not surprisingly, resulted in record-level revenue and adjusted EBITDA for the completion fluid segment as a whole in 2025. This performance occurred despite an estimated 55% fewer floating deepwater rigs operating globally than the 2014 peak, and we believe we are still in the early days of anticipated Eos production ramp-up. This is one of the reasons we are still very well positioned to benefit from the multi-year deepwater activity recovery and the electrolyte growth highlighted in our ONE TETRA 2030 strategy. Moving on to the strategic milestones for 2025 in the fourth quarter. During the year, we made significant progress on our new bromine plant and reached a major milestone in December by erecting a 120-foot-tall titanium bromine tower and support structure at our Evergreen plant site in Southwest Arkansas. We completed phase 1 of the planned three phases on time and materially below budget. We have advanced the detailed engineering design for phases 2 and 3, placed orders for long-lead items, refined the plant’s total cost, and are finalizing the detailed schedule. By designing the plant around the bromine tower’s capacity of 75 million pounds of bromine annually, we will have 56% more low-cost bromine available to us than the 48 million pounds we published in our definitive feasibility study in August of 2024. Since that study was completed, we have increased our demand outlook for deepwater completion fluids and now expect total bromine product demand to reach the 75 million plant capacity by 2029. Once we have the final upstream wellfield schedule from Standard Lithium and Equinor’s Reynolds unit, from which we intend to receive the post-lithium extracted brine, with board approval, we intend to FID the project. For the reasons highlighted, we expect the Arkansas bromine project’s economics to be improved from what we previously published. Continuing on with our Arkansas brine resources, we are pleased with the progress towards finalizing JV terms with Magrathea for the production of magnesium metal, using the rich concentration of magnesium, also in the same Smackover brine on our 40,000 acres. Magnesium is classified as a critical mineral by the U.S. government and is used to produce a highly valued metal for the Department of War and other U.S. industries. For our planned partnership, we would combine Magrathea’s advanced process technology with TETRA’s deep operational expertise and a world-class magnesium resource base from our Southwest Arkansas brine acreage. Magrathea has already secured Defense Production Act Title III funding from the Department of War to support its commercial phase one, planned to be on-site at TETRA’s Evergreen plant. We are optimistic that further government support is possible for our future commercial plans. Finally, as it relates to our Arkansas brine resources, and as we highlighted in our 2030 strategy, lithium has been viewed as a future opportunity beyond our 2030 targets. With lithium prices increasing back to over $20,000 per metric ton, we are reengaging direct lithium extraction technology companies and evaluating technological and cost efficiency advantages to understand the current economic environment. As a reminder, TETRA is the designated operator of the Evergreen brine unit and owns 65% of the brine minerals, including lithium, while ExxonMobil owns the remaining 35%. Our final strategy update concerns desalination for beneficial reuse. We are very pleased with the results of our EOG commercial plant desalination operation in the Permian Basin. This phase two grassland study has been running with over 95% uptime for the past four months following completion of the greenhouse phase one study. This grassland study is evaluating oil and gas-produced water desalinated through TETRA’s OASIS technology. Of great significance is that TETRA was issued a patent for our TETRA OASIS TDS end-to-end desalination solution. We are pleased that our unique pretreatment, combined with exclusive membrane and post-treatment technologies, has been recognized as a unique and patentable solution for desalinating oil and gas-produced water for beneficial reuse. The biggest desalination update since our Investor Day in September is the growing attractiveness of West Texas for data centers, which has shifted our customers’ priorities and our focus. With data centers straining electric utility grids and driving price increases, behind-the-meter, cost-effective power has become a major driver for data centers. With West Texas’ low-cost, abundant natural gas, ample and affordable land, and a friendly regulatory environment, it is easy to understand why. The one challenge West Texas does have is a lack of fresh water for power and data center cooling. With over 20 million barrels of produced water per day, there is far more water available by desalinating produced water. This is an extremely attractive option since operators need to reduce the amount of water they reinject for disposal, and converting it into a viable resource for power and data center cooling is a double win, given they now have a revenue source instead of incurring disposal costs. Our customer plan for 25,000 barrels per day plants has been shifted to greater than 100,000 barrel per day desalination plants, as one data center could require as much as 200,000 barrels of desalinated water. This is a very dynamic environment that has not changed the fact that operators need a solution for disposal well pore space filling up. It has provided an exciting acceleration opportunity that has significant potential for TETRA. All these efforts are contributing towards the goals we laid out for 2030, including our future segments focused on specialty chemicals and with water desalination and treatment. Looking forward to 2026, we see continued momentum towards our 2030 objectives. We expect incremental revenue growth driven largely by a material increase in electrolyte business and major contract awards in Argentina. Argentina has been a real success story for us as our team has secured contracts to meaningfully expand our production testing business, anchored by our proprietary and highly efficient SandStorm technology. In addition, our team secured three early production facility contracts. The combination of winning more early production facility contracts and gaining market share with SandStorm is expected to double our revenue in 2026 compared to 2025. Argentina’s margins are accretive to our overall water management and flowback margins, and are more stable given the long-term nature of our contracts. On the completion fluid side, Gulf of America activity in 2025 was heavily weighted towards completion and less towards drilling. 2026 activity is forecasted to be higher in drilling, including more exploration, with less completion activity. We do not expect the Gulf of America to reach the same record levels as in 2025. This is projected to cycle into stronger 2027 completions activity, and our 2030 targets for this business are on track. Our onshore water and flowback services business continues to benefit from longer laterals, increased sand and water usage, and more production-related activities, including water treatment and recycling. We expect the net impact of all these to result in overall modest growth in 2026. We have secured third-party bromine supply for 2026 and 2027 to bridge our growing bromine demand and until our bromine processing plant is brought online. These third-party supplies will allow us to keep pace with expected material increase in electrolyte and robust deepwater market, but they do come at an incrementally higher cost relative to our current long-term bromine supply agreement, which is consistent with our expectations. Although it is possible for one or more CS Neptune jobs to materialize in 2026, without CS Neptune projects and somewhat higher short-term cost of bromine, we expect our completion fluids and products adjusted EBITDA margins to be in the 25%-30% range, which is consistent with the average margin range for this segment over the past seven years. The increased cost for additional bromine supply has been anticipated as a bridge until we have our bromine processing plant operational. It further supports the strong business case and significant EBITDA increase we expect for this segment starting in 2028, when the plant is operational. For water and flowbacks, flowback services, the continued focus on differentiated technology and our profitable international growth contribute to improved adjusted EBITDA margins from 12% in 2025 to the mid-teens in 2026. With that, I will ask Matt Sanderson, who is currently, and for the past two years, done a great job as our Chief Commercial Officer, to update us on the fourth quarter highlights, and then Elijio Serrano to close out with our balance sheet and update. Before turning the call over to Matt and Elijio, I would like to again express my and the board’s deep appreciation for Elijio’s contributions and efforts over the past 13 years. Last October, we announced that Elijio had notified TETRA of his intentions to retire at the end of March. Over the past six months, Elijio has worked with Matt to ensure a seamless and orderly transition of the CFO responsibilities. Matt has been with TETRA for over nine years, and as stated, most significantly as Chief Commercial Officer. The board and I spend a lot of time on succession planning to ensure we have the talent necessary for the organization to execute on the base business and deliver our longer-term goals. This transition will allow us to do so. Elijio has agreed to remain available to Matt, me, and the board as an advisor, so we can leverage his skills, knowledge, and relationships with our investors, the financial community, our lenders, and the financial team. While this might be Elijio’s last quarterly earnings call, we fully expect that in the background, he will continue to support the organization as we methodically march towards our 2030 goals. With that, Matt will provide some additional color on the fourth quarter results before handing over to Elijio.
Matt Sanderson: Thank you, Brady. As mentioned, 2025 was a record-setting year for TETRA on several fronts. This included our strong fourth quarter performance. Completion fluids and products revenue of $83.7 million was up 22% compared to a year ago, including a material increase in shipments of electrolyte. Our adjusted EBITDA margins remained strong at 28.2%. Water and flowback services revenue of $63 million was flat compared to the third quarter, despite the traditional year-end slowdown in the U.S. market. Inversely, we saw stronger activity in Argentina as we started another early production facility during the quarter. We expect to start another one this week, setting us up for a strong year in 2026 in the Vaca Muerta region, as Brady mentioned earlier. Production testing activity remained strong on the back of our SandStorm technology. Adjusted EBITDA margins improved 100 basis points on aggressive cost reductions and a continued focus on new technology and automation aimed at reducing personnel at the well site. Despite competitive pricing pressures in U.S. land, our adjusted EBITDA margins remained relatively flat during the year. Our focus remains on leveraging technology on higher margin opportunities and generating free cash flow in this segment. Corporate and other expenses were $11.3 million and included materially higher variable compensation expense, resulting from our team’s record 2025 performance. This variable compensation includes both short-term and long-term incentives, including returns on net capital employed targets and a total shareholder return, or TSR, over a three-year period, which is structured to align management’s interests with those of our shareholders. For the three-year period that we are being compared to our peers, we were in the top quartile of our peer group. As a result of that increase in shareholder value, our long-term variable cash compensation increased $2 million over the third quarter. In the fourth quarter, we also changed our corporate office location, which will reduce our corporate G&A expenses by approximately $2 million per year. We will be participating in several upcoming investor-related events in the first part of this year, which have been listed on our website. I look forward to working closely with our current and future shareholders, along with the broader investor community. On a personal note, I would like to congratulate Elijio on his upcoming retirement. I sincerely appreciate all of Elijio’s support during these past nine years, and I wish he and Mary all the best on the next chapter in their life together. With that, I will turn it over to Elijio to cover cash flow and the balance sheet.
Elijio Serrano: Thank you, Matt. I will highlight three areas, then we will open the call up to questions. The first one is free cash flow. Cash flow from the base business in the fourth quarter was very solid at $21.8 million. For the year, free cash flow from the base business was $83 million. As you recall, all during 2025, we have been communicating our objective of generating over $50 million of base business free cash flow, and we did $83 million. Included in 2025’s free cash flow was $19 million in cash proceeds from the sale of our shares in Kodiak Gas Services, following our divestiture of CSI Compressco. Just like we did with our previous sale of shares in Standard Lithium, we timed our sale of Kodiak shares near their 52-week high. The organization is very focused on managing cash flow and managing working capital, so we can maximize cash flow from our base business to invest into our bromine project in Arkansas. Despite a $12 million increase in fourth quarter revenue compared to a year ago, our cash management efforts allowed us to reduce working capital by almost 20%, or by $21 million, to $88 million at the end of 2025. To demonstrate the quality of our customers and our internal focus on timely invoicing and collections, days sales outstanding improved 13% from 71 at the end of 2024 to 62 days outstanding at the end of 2025. Base business capital expenditures were $30.5 million, and investments in Arkansas were $45 million. We also capitalized $4.5 million of interest expense, consistent with GAAP requirements on large capital projects. Consolidated TETRA free cash flow, including all our Arkansas investments, was $33 million in 2025, demonstrating the strength of our base business to allow us to invest into the projects and still be free cash flow positive. This will allow us to keep making progress towards our 2030 goals without over-leveraging TETRA. The second topic of emphasis is our balance sheet. Even after we invested $45 million into Arkansas, we ended the year with cash on hand of $73 million, double where we started the year at. Net debt is $109 million, down from $143 million at the end of 2024. Our net leverage ratio improved from 1.8x at the end of 2024 to 1.1x at the end of 2025. We have nothing outstanding on our revolvers. As of this week, we had borrowing capacity of approximately $7 million on our revolvers. Brady mentioned the growth in our business in Argentina. Argentina is cash self-sufficient for us. We are not having to support Argentina by moving cash there to double the business in 2026. We expect to begin repatriating cash to the U.S. in 2027, given the strong performance that we expect from them with long-term, stable, early production contracts. The third topic is our tax loss carryforwards. As of the end of 2025, we have a tax loss carryforward of approximately $84 million that can offset almost $300 million of taxable income in the United States. In 2025, we were able to use approximately $7 million of this deferred tax asset to reduce our U.S. cash taxes in the United States. This tax loss carryforward is of significant value to TETRA and TETRA shareholders as we continue to grow our business and move towards the 2030 goals, with expected higher U.S. income from our bromine plant and from water desalination facilities. Lastly, given this is my final earnings call, I would like to express my appreciation to the TETRA organization, our board of directors, the research community, and our shareholders for the opportunity to work with all of you. TETRA is in a great position to deliver on our 2030 goals and create even more value to our shareholders as we grow our earnings. Tiffany, with that, we will open the call to questions.
Operator: At this time, if you would like to ask a question, press star, then 1 on your telephone keypad. To withdraw your question, simply press star, then 1 again. We kindly ask that you limit your questions to one and one follow-up for today’s call. We will now open for questions. We will pause for just a moment to compile the Q&A roster. Your first question comes from Stephen Gengaro with Stifel. Please go ahead.
Stephen Gengaro: Thanks, good morning, everybody.
Matt Sanderson: Good morning, Stephen.
Elijio Serrano: Good morning, Stephen.
Stephen Gengaro: It will be odd without Elijio next quarter, but we will keep talking to him. I think the first thing is, when we think about the comments on the fluid side and how the deepwater market looks in 2026 versus 2025 for fluids, and how that evolves into 2027, can you just talk a little bit about what you are seeing, just any incremental color on how we should be thinking about the offshore, well, basically, the non-industrial piece of fluids?
Brady Murphy: Yeah. Yeah, sure, Stephen. As mentioned, we had a record-setting year for our completion fluids business in 2025. Really, when you think about it, we are still way below where the market peaked in deepwater in 2014. As I mentioned, we are 55% below where we were in the peak, and we are setting records financially. We had a couple of tailwinds with us in 2025 because the Gulf of Mexico, as I mentioned, was largely in completion phase. These cycles happen in deepwater. If your drilling campaign is ongoing and you are doing less completions, that has an impact on us. If you are doing more exploration and less development, that has an impact on us. 2025 was a great year. 2026 is still going to be a very strong year for us. But we are seeing a cycle into more drilling phase and less completion phase. Again, that cycle will reverse itself in 2027. I will say the overall deepwater market is overall continuing to look very positive over the next three to four years. Hopefully that helps with your question.
Stephen Gengaro: Yeah, it does. The other question I had on that was, when we think about margin progression and on the fluid side, obviously we can sort of back out the first half of 2025, which you had the TETRA CS Neptune work.
Brady Murphy: Yeah.
Stephen Gengaro: The guidance parameters you gave, is it what is driving that? Just kind of normalized margins, ex Neptune, and what is the pricing situation look like for the deepwater fluids?
Brady Murphy: Yeah. Our pricing power is pretty strong in the completion fluids. We are the innovation leaders, and we think we get a premium for that. We are also vertically integrated from the standpoint of being able to produce our own fluids. We feel we have an advantageous position in that regard. I mean, as I have mentioned, we are securing third-party bromine at a higher pricing level, spot market pricing levels, than our long-term supply contract because we are growing in both the deepwater and the Eos demand. That does put a little bit of pressure on our margin side, but as we communicated, we think we are going to be in that range, 25%-30% for the year in the segment, which is really consistent with our past seven years. I think what it does highlight is, again, the strong business case that we have for our bromine plant, because when we bring that plant online, we will have 75 million pounds of bromine available to us at significantly lower cost than what we are paying today. That is, again, part of our 2030 objectives that we have outlined.
Stephen Gengaro: Thanks. Just one really quick one on the margin side. I do not think you have ever said this. I do not know if you will tell us, but any guidance on how much of your bromine needs are serviced by the long-term LANXESS agreement?
Brady Murphy: I do not know that we have communicated that.
Stephen Gengaro: Okay.
Brady Murphy: Stephen, do you know, Elijio, if that is public knowledge?
Elijio Serrano: We have indicated that approximately 75% of our historical needs have been met under a long-term agreement, and we have been doing open market purchases for the rest of it. As Brady mentioned, with the volumes increasing, we are doing more and more open market purchases.
Brady Murphy: The percentage of open markets is definitely increasing, Stephen, as we grow and we support the electrolyte ramp up. We are going to continue to see that in 2026 and 2027 until we bring the plant online, which will have a dramatic change.
Stephen Gengaro: Great. Thank you for all the details.
Brady Murphy: Yeah. Thank you, Stephen.
Operator: Your next question comes from the line of Martin Malloy with Johnson Rice. Please go ahead.
Martin Malloy: Good morning, Elijio Serrano, enjoyed working with you for a number of years and wish you the best in retirement.
Elijio Serrano: Thank you, Martin.
Brady Murphy: We are going to keep him busy, Marty. Do not worry.
Martin Malloy: Okay, good. I wanted to ask about the desalination plants. It seems like, obviously, the size of the potential projects has increased substantially. I would imagine that there are a number of different parties involved, from E&P companies to midstream to the data/power providers. Can you maybe help us with how we should think about the timing of these commercial contracts potentially getting finalized and then the time to revenue?
Brady Murphy: Appropriate question, Marty, because even since our Investor Day in September, we were going down a path with several customers who had a really sincere interest to stand up our 25K design plant in 2026. That has changed dramatically since our September discussion, and multiple customers, multiple data centers are now part of the discussion and have kind of taken over, I would say, the opportunity set that we initially were thinking about. It also includes the fact that we have to do additional engineering work. Well, we completed our 25K engineering study, but clearly, when you go to 100K and above, we have to kind of restart that engineering cycle. As you stated, there are multiple parties involved with this: the supplier of natural gas, a potential midstream supplier who has got water or an operator that has their own water, the power generation itself, and the potential hyperscaler, whoever that, in the case may be. It is a multi-party process, and it is an exciting process. West Texas is looking very favorable, I would say, in terms of the future of these data centers. Quite frankly, we have been open the fact that we, to date, and still, to our knowledge anyway, we are the only ones that have communicated an end-to-end full commercial offering for desalinating produced water for beneficial reuse. We are very encouraged by the patent that we received in the fourth quarter that provides more validation that we have got a cost or a technological advanced position. In terms of timing, look, we are hopeful that one of these data center desalination projects will materialize in the first half of this year. Obviously, we were not planning on much revenue in, if any, revenue in 2026. It does hopefully set us up for a first revenue of a large facility sometime in 2027.
Martin Malloy: That is great. For my follow-up question, just wanted to ask about bromine and you are having to go out in the spot market and make purchases to meet the demand. It sounds like from Eos’s call earlier this morning, demand is not the issue. They have had some temporary execution issues ramping up, but the demand is certainly out there and they will be increasing their manufacturing going forward. Does it make sense to try to accelerate the timing of bringing that bromine project online? It seems like you were trying to pace it, so you kept it within free cash flow. Given the ramp-up in demand and potentially completion in the deep water coming back in 2027, does it make sense to try to bring in the completion date for the bromine facility?
Brady Murphy: Yeah. The bromine facility is really being a schedule-driven project right now. The timing of being able to get the contractors on site, get all of the major equipment, tagged equipment, on location. We are not slowing the pace of this project by any means to try to pace it with cash flow funding. We are moving as quickly as we can. We are still on schedule for the fourth quarter of 2027, Marty, but there may be a little bit of opportunity to pull it in a little bit, but we want to be conservative with our estimates on that.
Martin Malloy: Great. Thank you. I will turn it back.
Brady Murphy: Thanks, Marty.
Operator: Your next question comes from the line of Bobby Brooks with Northland Capital Markets. Please go ahead.
Bobby Brooks: Hey, good morning, guys, and first want to say, Elijio, congratulations on the terrific career, and I am glad I have got to know you pretty well over the past couple of trips we have had the last few years, including you taking me on my first trip to Midland.
Elijio Serrano: Thank you, Bobby, and hopefully, that was a very good experience for you.
Bobby Brooks: Absolutely. Wanted to double-click on the desal stuff. Thought it was really exciting to hear the customer conversations have pivoted from the 25,000 barrel a day to 100,000 or more plants. What I wanted some more clarity on was, I thought when you did the engineering on the 25,000 barrel a day plant, that it was sort of modular and scalable in nature, so you could kind of just stack four to get to that 100,000 number. Maybe I am misunderstanding it. Could you just discuss if that is the case, like, why not just deploy four of them to hit that 100,000 goal?
Brady Murphy: Yeah, good question, Bobby. We did anticipate that if we started out with 25,000 plants, that as volumes increased, we would be able to build them in a train type of environment, right? Another 25. When you know you are going to start, instead of a 25,000 plant, and you are going to start with a 100,000 or more, obviously, there are efficiencies to be gained out of a large 100,000 barrel per day plant versus just going and building four separate 25,000 facilities. With that in mind, our customer is asking us to prepare for a much larger facility, as opposed to, “Well, let us just build four 25,000s and put them together.” Because there are some economies of scale to be had.
Bobby Brooks: Absolutely. That makes a lot of sense. Maybe to dive a little bit deeper there, I think it took a couple of quarters to get the engineering finalized for the 25,000 barrel a day plant. Do you think that might be a little bit accelerated, since I am guessing there is probably some crossover, where you are kind of starting at second base rather than starting at first base with this engineering plan?
Brady Murphy: Yeah. No, absolutely. I mean, the fundamentals of the engineering are in place, so we will get some efficiencies as we move into the 100,000-plus plant site. If we were starting from scratch, this would clearly be a six-month exercise, but we are not. We feel fairly confident within the next three to four months, we will have a good range of where we need to be to move into a commercial discussion.
Bobby Brooks: Great. Then just one last one for me. Just on the kind of base business, water and flowback services, U.S., if we think, if you take the assumption that onshore U.S. activity stays flat, do you think you can continue to outperform that just through the value add that you provide at E&Ps? Or is it probably more likely you kind of stay, if it is in a flat environment, you stay flat as well?
Brady Murphy: Yeah. I mean, the SandStorm technology uptake really continues with our customers, and we have more room to grow on that side of the business. As I am sure you heard during our Investor Day, we are de-emphasizing our water transfer business somewhat. We are still supporting that business and looking for the efficiencies that we would like to get out of that business, but investing less in growth. As that piece of our business becomes, which is our lower margin business, becomes less of our North America business, we fully expect the flowback side of the business to continue to increase share. That is what is helping us, along with Argentina, to continually drive our overall margins up in that segment in 2026.
Bobby Brooks: Got it. Great to hear. Maybe if I could just squeeze in one more. I thought it was really exciting hearing the industrial calcium chloride for chip production had really outstanding growth in 2026. Could you just maybe remind us, is that being supplied to domestic chip manufacturing, international chip manufacturing, or is it a mix of both?
Brady Murphy: It is domestic chip manufacturing, and really, we are in the early days of that growth. Calcium chloride provides a really valuable part of the solution for these chip manufacturers because it neutralizes fluorine or fluorides, which we know are an environmental concern. We fully expect that business to grow as the chip manufacturing market grows here in the U.S.
Bobby Brooks: Perfect to hear. Congrats on the excellent 2025. I will return it to you.
Brady Murphy: Thank you.
Operator: Your next question comes from the line of Jonathan Tanwanteng with CJS Securities. Please go ahead.
Jonathan Tanwanteng: Thank you for taking my questions and next quarter. I was wondering if you would go a little bit more into the decision to bring on a third-party supplier for bromine. Does that indicate that you are having any issues with your current supplier, or perhaps any delays or shortfalls expected when you ramp the new facility? Or is it purely just the demand for bromine is exceeding what you already had contracted? That is the first part of the question. The second part is, are you expecting to pass on some of that higher input cost through to your customers?
Brady Murphy: Remember, bromine feeds two important parts of our business: our completion fluids, our deepwater completion fluids, which had a record year in 2025. It also supports our electrolyte production, which, Eos electrolyte production as they ramp. We are definitely securing third-party supply well above now the long-term contract. There is no issue with the long-term contract. As we have stated publicly, that contract does wind down through the end of 2029, which dovetails very nicely with our bringing the plant online in 2028. We have some success with pricing because of our innovation leadership. That does help offset some of the increased price of bromine. Again, that is consistent with the guidance range that we have given between 25 and 30 for the segment, which is consistent with our past seven years, really even overcoming the increased costs of bromine, that we see the short-term issue in 2026 and 2027.
Jonathan Tanwanteng: Got it. Thank you. Then you did mention you are expecting to hit that plant capacity in 2029, just two years after you open it. I am wondering if or what the plan is for excess bromine supply after that? Is it to stay with these third-party contractors, or are there extension opportunities that you can do with the assets that you have?
Brady Murphy: Yeah, the 75 million will be the current tower that we have. We have plenty of resource in the ground, in our brine, to continue building out additional capacity. Most likely, we will go to the market with incremental bromine supply above the 75 million, at least for a period of time, until we see whether or not we have reached a whole new plateau of future bromine growth above our 75 million. For the short term, we would expect to go to the market for any needs above that.
Jonathan Tanwanteng: Okay, great. Thank you. If I could squeeze one more in there, do you have any expected shortfall in supplying bromine in the short term to both your completion business or the battery business? Are you expecting to satisfy all the demand with these new agreements?
Brady Murphy: We have secured, contractually secured, what we need for 2026. Obviously, as we get closer to 2027, we will do the same thing. We are in good shape for the supply.
Jonathan Tanwanteng: Got it. Thank you.
Brady Murphy: Thank you.
Operator: Your next question is a follow-up from Stephen Gengaro with Stifel. Please go ahead.
Stephen Gengaro: Thanks. Just a quick one, I might have missed this earlier, so I apologize. The margin guidance you gave on the water side for 2026 is pretty healthy. What is behind that guidance?
Elijio Serrano: That is simply reflecting stronger pricing pressures in the Permian Basin, that we are working toward offsetting some of that with aggressive cost actions that Roy McNiven and his team are taking. We believe we will remain in the teens with that business, especially with Argentina coming on.
Stephen Gengaro: Okay. Thanks. Just a quick follow-up. When we think about the progression through 2026, given what you know as far as seasonal factors, et cetera, any sense for or any color you could give on where the consensus sits for the first quarter EBITDA, which I think is like in the $23 million-$24 million range?
Elijio Serrano: Yeah, as you know, we are not giving any guidance for the year, much less for the quarters. The only spike that we see will be the second quarter spike that we traditionally see in Northern Europe with the calcium chloride business. Otherwise, I think each of the quarters are going to reflect offshore activity and the timing of projects.
Stephen Gengaro: Great. Sorry about that. My phone was not on silent. I apologize. Okay.
Elijio Serrano: No problem.
Stephen Gengaro: That is very helpful, and thanks for the details.
Brady Murphy: Thanks, Stephen.
Operator: Your next question is a follow-up from Jonathan Tanwanteng with CJS Securities. Please go ahead.
Jonathan Tanwanteng: Hi, thanks for the follow-up. I do not know if you mentioned this specifically, but just given where you sit with the OASIS negotiations on the data center side, when is the earliest you think you could have a large-scale, the $100+ million plant online and starting to produce?
Brady Murphy: Probably the earliest I would say would be Q2, probably more like mid-year of 2027, would be our expectation.
Jonathan Tanwanteng: Okay, great. Does that also take into account factors like the relative difficulty of things like getting gas turbines on site and things like that, just given where backlogs are for power generation?
Brady Murphy: Yeah, we cannot comment on the other partners in these programs, kind of where they are on securing everything they need for these projects. We are having specific discussions with multiple customers as it relates to data centers on our role, and they are aware of our timeline. They are obviously asking us if we can shorten that timeline, but that is a realistic timeline for us to stand up that size of a plant.
Jonathan Tanwanteng: Okay, great. Thank you. One more just high-level question. Is there any sort of long-term impact that you might expect in the offshore business, based on just the changes in Venezuela and how that might be impacting the overall energy market?
Brady Murphy: Yeah, I mean, our view of Venezuela, I think it is positive for both the country and the oilfield services long term. I do not think you are going to see a huge impact in the short term. We had a business, TETRA did, in Venezuela, that we will look at returning or at least selling completion fluids into that market, by way of participation. In terms of the overall energy market, my view is it will not be significant in the short term.
Jonathan Tanwanteng: Understood. Thank you.
Operator: That concludes our question-and-answer session. I will now turn the call back over to Brady Murphy for closing remarks.
Brady Murphy: Well, thank you very much for joining us. 2025 is in the books as a record year for TETRA Technologies, Inc., and really a year that our strategic initiatives came into focus for us with our ONE TETRA 2030 strategy, and we are very excited about the future. Thank you all for joining us and participating with us today.
Operator: Ladies and gentlemen, this concludes today’s call. Thank you all for joining. You may now disconnect.